Operator: Good day, everyone, and welcome to the Sea Limited Fourth Quarter and Full Year 2017 Results Conference Call. [Operator Instructions] Please note that this event is being recorded. 
 I would now like to turn the conference over to Alan Hellawell, Group Chief Strategy Officer. Please go ahead. 
Alan Hellawell: Good morning, and good evening, everyone, and welcome to Sea's 2017 Fourth Quarter Earnings Conference Call. I am indeed Alan Hellawell, Sea's Group Chief Strategy Officer. 
 Before we continue, I would like to remind you that we might be making forward-looking statements, which are inherently subject to risks and uncertainties and may not be realized in the future for various reasons as stated in our press release. Also, this call includes discussion of certain non-GAAP financial measures such as adjusted revenue, adjusted EBITDA and adjusted net loss. We believe these measures can enhance our investors' understanding of the actual cash flows of our major businesses when used as a complement to our GAAP disclosures. 
 For a discussion of the use of non-GAAP financial measures and reconciliation with the closest GAAP measures, please refer to the section on non-GAAP financial measures in our press release. 
 Let me begin by introducing our management team on the call. We have our Chairman and group Chief Executive Officer, Forrest Li; our group President, Nick Nash; and our group Chief Financial Officer, Tony Hou. Forrest, Tony and myself will share strategy and business updates, operating highlights and financial performance for the fourth quarter of 2017. This will be followed by a Q&A session, in which we welcome any questions you have. 
 With that, let's begin with Forrest for our key strategic highlights. 
Forrest Li: Thanks, Alan. Thank you everyone for joining today's call. I'm very pleased to share that all 3 of our businesses saw robust expansion in the fourth quarter of 2017 on both the quarter-on-quarter and the year-on-year basis. 
 As you know, Garena is our most-established business and is our largest source of revenue and profit. I'm happy to share that it continued to grow strongly, delivering quarterly adjusted revenue of $141.9 million, up 59% year-on-year. Quarterly adjusted EBITDA more than doubled year-on-year to $52.6 million, showing very strong growth year-on-year. 
 The launch of Free Fire, a mobile battle royale game, on 4 December 2017 on both the iOS App Store and Google Play Store was an important milestone for us. We developed Free Fire entirely in-house. I'm excited by the success it has had to date, both in the region and beyond. 
 Free Fire was planned and designed for a mobile gamer right from the start. Our development team focused on features such as short game lands, social elements and less-demanding hardware specs, which are more suitable for users in our region. We were also able to launch the game in many market quickly to capture a critical mass.
 The journey has been exciting, and we are encouraged by the results. Free Fire has already achieved 6 million daily active users. As we have only started monetizing the game in January, it is still too early to gauge Free Fire's revenue potential, but we're actively exploring future channels of monetization. We will continue to step up our self-development capabilities to design games that meet the constantly evolving needs and the preferences of our gamers.
 Meanwhile, we remain committed to building our partnership with top-class developers so that gamers in our region can enjoy a world-class game franchise. For example, we partnered with NetEase on the mobile RPG game Onmyoji. We launched it in Thailand last year and Vietnam just a few weeks ago.
 Let's move on to e-commerce. We take a long-term view on Shopee, and growth is our top priority for the business. I'm pleased to share that e-commerce GMV reached $1.6 billion in the fourth quarter of 2017, an increase of more than 200% year-on-year and another record quarter for Shopee. 
 In line with our growth and monetization road map, we are investing strategically to support big brands as they establish flagship stores on our Shopee Mall. We are already working with leading brands such as L'Oréal, Xiaomi, Unilever and Watsons. These partners work with us largely because we can meet their demanding requirements such as fulfillment support and other value-added services. Shopee now leases warehouse in a number of our markets to meet the needs of our sellers. We will continue to evaluate additional services to support sellers as we grow our seller base. 
 I'm confident that we can expand monetization as we grow Shopee's market share. We're also planning to introduce new monetization tools as our relatively scale growth and when market dynamics make sense. 
 In summary, I'm very proud of the growth that we have achieved in 2017. We look forward to another strong year of growth. Our region is one of the world's fastest-growing markets for digital entertainment, e-commerce and digital financial services. We're confident that we'll continue to build our leadership by constantly innovating to better the day-to-day lives of consumers and small businesses. 
 Before I hand the call over to Alan, I would like to thank you for your thoughtful suggestions over the past few months, particularly around how we present the business on an ongoing business basis. Our Group CFO, Tony Hou, will be updating you on how we have refined our segmental financial disclosure to better facilitate your understanding of our businesses and measure our progress. But first, over to Alan. 
Alan Hellawell: Thank you, Forrest. I would like to build on Forrest's remarks with more detailed commentary and business updates. 
 Within digital entertainment, we continued to strengthen our market-leading role. Forrest has outlined it, adjusted revenue and adjusted EBITDA results. Quarterly active users, or QAUs, grew 74% year-on-year and 27% quarter-on-quarter to 87.8 million, largely driven by existing games such as Arena of Valor and the launch of Free Fire. Meanwhile, average revenue per user, or ARPU, came in at $1.60 compared to $1.80 for the fourth quarter 2016 and $2 for the third quarter of 2017. The easing in ARPU is mainly due to rapid user growth around our newly launched games, which resulted in faster QAU growth compared to quarterly paying users, or QPUs. We are pleased that QPUs increased to 7.2 million in the fourth quarter of 2017 from 6.5 million in the previous quarter. Looking ahead, we are excited about the pipeline of titles we have in store through the rest of 2018 and look forward to sharing details in due course.
 With regard to e-commerce, the markets in our region continue to grow strongly. Frost & Sullivan, for instance, just released its latest quarterly e-commerce report, estimating that 2017 GMV for Southeast Asia and Taiwan grew by 33% year-on-year to USD 31.8 billion. Shopee had an outstanding quarter with GMV reaching USD 1.6 billion, representing year-on-year growth of 206% and quarter-on-quarter growth of 48%. Shopee's gross orders reached $98.3 million, which represents an impressive growth of 244% year-on-year and 49% quarter-on-quarter, largely driven by the rapidly expanding Indonesian market. 
 On a market-by-market basis, Indonesia experienced the strongest absolute growth in the fourth quarter. Even the more mature Taiwan market continues to display healthy growth rates in both GMV and gross orders. We also see our market share growing steadily in markets such as Thailand and Vietnam. Shopee's sharp growth trajectories underpinned by a heavy focus on long-tail product categories such as fashion and health and beauty, which serve the needs of our female customer base. Our marketplace approach maps particularly nicely the needs of those shoppers situated outside of capital city where we believe the fastest GMV growth is occurring. We continue to devote resources to make Shopee the mobile platform of choice for both sellers and buyers. Fostering user engagement is critical to us. A recent YouGov ranking of brand recognition in Indonesia put Shopee among the top 10 well-known brands, the only e-commerce brand along with other household names such as Garuda Indonesia and Toyota. 
 In terms of our digital financial services, our GTV grew 311% year-on-year and 129% quarter-on-quarter to reach USD 1 billion in the fourth quarter of 2017, driven by closer integration with Shopee and expansion of use cases. We continue to focus our efforts on strengthening our infrastructure to support our existing platforms. 
 With that, I will pass on to Tony to talk more about the financials. 
Hou Tianyu: Thank you, Alan, and thanks to everyone for joining the call. First, let me highlight some positive changes in this quarter's release. On top of that segmental information we have disclosed in the previous quarters, we have started to disclose both EBITDA and adjusted EBITDA by segment this quarter to help you better understand our profitability. 
 For our digital entertainment business, we have revised our estimation for certain games' revenue recognition periods by using average paying user life instead of game licensing period. The revision applies to one of our top titles, Arena of Valor. The impact of such changes was not significant. We believe that the revised estimations better reflect the economic essence of the respective games more accurately and result in higher-quality financial reports. 
 We have included the detailed quarterly and annual financial schedules together with the corresponding management analysis in today's press release. So rather than then taking you through our disclosure line-by-line, I will focus my comments on some key financial metrics so that we have more time for Q&A later.
 For Sea overall, our fourth quarter total adjusted revenue was our highest ever at USD 164.5 million, an increase of 73% year-on-year and 8% quarter-on-quarter. This was primarily driven by the continued growth of our digital entertainment business and the initial monetization efforts of our e-commerce business. 
 Digital Entertainment adjusted revenue was USD 141.9 million, an increase of 59% year-on-year and 5% quarter-on-quarter, primarily due to the growth of our QAUs as we launched new games and expanded our existing games into new markets. Adjusted EBITDA was USD 52.6 million, an increase of 216% year-on-year and 17% quarter-on-quarter. 
 Our initial efforts to monetize Shopee platform are on track. E-commerce adjusted revenue was USD 9.3 million, up 62% quarter-on-quarter from the third quarter of 2017. We've also seen improvements in the efficiency of sales and marketing spend as the percentage of selling and marketing over GMV improved from 9.7% in the third quarter of 2017 to 8.5% in the fourth quarter of 2017. The percentage for the full year also improved from 11% in 2016 to 8.3% in 2017. Adjusted EBITDA loss widened to USD 175.4 million as we continued our investment to fully capture the market opportunity in the region. We will stick to our strategy to grow the platform and strengthen our market leadership position, especially in our focused categories. We expect this investment trend to continue in 2018 as both our GMV and gross orders continue to grow. 
 Digital financial services revenue, USD 4.1 million, up 140% year-on-year from $1.7 million in the fourth quarter of 2016. The increase was primarily attributable to the addition of use cases to our AirPay platform and the further deepening of our market penetration. Adjusted EBITDA loss was USD 7.6 million in the fourth quarter of 2017 compared to a loss of $9.2 million in the same period of 2016. We had a nonoperating loss of $62.3 million recognized in the fourth quarter of 2017. This was primarily due to a fair value loss of USD 52 million from the fair value accounting treatment for the convertible promissory notes and the interest expenses accrued on those same notes. We also had income tax expenses of $8.7 million in the fourth quarter of 2017 primarily due to the corporate income taxes and withholding tax expenses recognized for our digital entertainment business. As a combined result of all the above, our adjusted net loss, which is net loss adjusted to include share-based compensation expenses, was USD 251.6 million in the fourth quarter of 2017 as compared to USD 62 million for the same period 2016. 
 I will conclude with our guidance for this year. We currently expect total adjusted revenue to be between USD 730 million to USD 770 million for the full year of 2018, representing year-on-year growth of 32% to 39%. For our e-commerce segment, we currently expect GMV to be between USD 7.5 billion to USD 8.0 billion for the full year of 2018, representing year-on-year growth of 82% to 95%. 
Alan Hellawell: Thank you, Tony. We'll now open up the call for questions. 
Operator: [Operator Instructions] And our first questioner today will be MC Koh with Goldman Sachs. 
Miang Chuen Koh: Congratulations on a good set of results. Couple of questions. Firstly, can you talk a bit about the PC versus mobile adjusted revenue mix? And secondly, in terms of pay ratio, it seems to have declined Q-o-Q. Is it part -- I know you talked a bit about it over the first few minutes, but if we can also get a bit more color by games. Is it just Free Fire? Or is it also sort of due to AOV now you're monetizing in certain markets? 
Forrest Li: Thanks. Thanks for the question. And talking about the PC and mobile, and we are pretty, like, excited about the growth opportunity of mobile. And so as you -- as we have like just reported, for Arena of Valor, we hit 10 million daily active users in the Q4 2017. At the same time, our self-developed game, Free fire, like also reached 6 million daily active users in our region and beyond our region as well. So this is a huge growth opportunity. I think we're going to continually try our best to capture such opportunities. And for your question on the PC side, and currently, we have several like big titles, right, like League of Legends and FIFA Online 3. And for -- like in looking at 2018, we do have several high expected like PC game to be launched as well. I think I'm not going to just comment specifically on any games in our future pipeline, but we remain very confident about the growth of both PC and mobile games in our region. 
Alan Hellawell: Sorry, MC, you had a second question about conversion rate, is that correct? 
Miang Chuen Koh: That's correct, Alan. Yes. 
Alan Hellawell: Do you mind indulging us and repeating it one more time? 
Miang Chuen Koh: Yes, so you did say that quarterly pay ratio declined a bit Q-o-Q, so just wondering if we can get a bit more color on why that's the case, perhaps if you could attribute it to specific games? I mean as far as you can disclose. Is it mainly because Free Fire came on and that sort of make the active users base increase a lot but not yet the paid users? Or is it also that AOV has not yet started monetizing in certain regions and that's why the ratio has fallen? 
Forrest Li: Okay. Yes. I think, actually, like -- yes, as you just like have mentioned, okay, so it is mainly due to the huge increase in terms of our user base of Free fire. And we launched the game just in December, but it's a takeoff -- it did take off very, very well. And -- but we only like start to monetize the game at the -- from the beginning of, like, this year; so starting in January. So in a way, also, like even in terms of the monetization, we still just go with a very moderate approach. So that's why you see a big surge in terms of our active user base so -- but now it's really like reflecting in the paying ratio. But if you look at our absolutely quarterly paying user number, it's increased a lot as well. So like from last quarter, Q3 from 6.5 million quarterly active users to 7.2 million quarterly active users in Q4. So even if you just look at the absolute like paying user base, we think we still see a very robust growth, yes. 
Operator: And our next questioner today will be Alicia Yap with Citigroup. 
Alicis a Yap: Forrest, Nick, Tony and Alan, congrats on the solid results. My first question is regarding your full year guidance. I understand Tony mentioned about some changes on the revenue recognition for some games in 4Q. And we noticed maybe the reported digital entertainment is actually slightly better. Would actually the change have any effect into 2018? And how should we translate your guidance of 32% to 39% to this Digital Entertainment GAAP revenue? And then is this -- the driver for digital entertainment, is that mainly driven by the gradual ramp of the monetization of Free Fire and also the AOV? Or is it also will be driven by some of the new games that in the pipeline you're going to be launch? 
 My second question is on the e-commerce; is that your GMV guidance seems very robust. Can you share with us in terms of the growth rate that you expect for the reported revenue and also expectations on monetization for the major country, such as Taiwan, Indonesia and maybe Thailand? Would you -- where would you expect the GMV growth mainly come from? And then on monetization, where do you expect the main pickup of the growth come from? Will that be the Shopee Mall commission rate or the performance-based advertising in certain market? 
Hou Tianyu: Thanks, Alicia. So I will take the first question first. So for the guidance, we're talking about adjusted revenue, which is more on cash basis. So the change in the GAAP revenue accounting wouldn't affect the cash guidance per se. And for the driver of the growth, especially on the digital entertainment side, yes, it's a combination of the existing titles and also the new titles that are on the road. So we continuously focus on the user activeness and the user stickiness and -- while we provide better service to the users on our platform. So yes, so that's the answer to your first question. 
 And for the second question on the GMV guidance, well, it's a combination. So for our major markets like Indonesia and Taiwan, of course, we will continue driving our strong growth in the coming year. And beyond that, for the other markets like Thailand and Vietnam, we will also put our focus on it because we have seen good opportunity windows for us to fully capture the market potential. So Alan, you want to comment on that? 
Alan Hellawell: Yes. Maybe I'll add a little there. Alicia, you made reference to Shopee Mall, which is the branded part of our marketplace, and we're indeed very excited about that. We, in many markets, now look to Shopee Mall for more than 10% of our GMV. And in Taiwan, where we've implemented a universal commission schedule, we have a 5% take-rate there. So to the extent that Shopee Mall significantly outstrips Shopee in terms of growth, all things being equal, we're going to see a nice bias or an improvement in the take-rate there. 
 With regard to performance-based advertising, we don't give particularly specific guidance there. We will just say we've implemented the ad tools across almost all of our markets. The uptake has been very encouraging. And we do feel that, that will become an important component of monetization in the same way some of our predecessors in the region have very, very successfully used ad tools to instill a little more order to these marketplaces. So we're also very enthusiastic about that. 
Operator: And our next questioner today will be Mike Olson with Piper Jaffray. 
Michael Olson: So I just have 2. At this point, it sounds like Free Fire is relatively immaterial to Garena revenue as you kind of work to monetize the growing user base, but I guess, please let me know if that's not correct. But what I was wondering is, is there a typical time frame over which you find that you can successfully monetize a new title? Like, should we begin to see Free Fire becoming more material in Q2? 
 Or would it be more in the second half of the year? And then for Shopee, I guess, kind of just a follow-up from that last question. In the script, you mentioned some additional ways to monetize and drive higher overall take-rate, and you just talked about Shopee Mall and seller commissions and advertising. Is there more? Or are there more monetization tools beyond that, that we're not thinking about or that haven't been discussed on the call? 
Forrest Li: Okay. Thank you for the question. Let me answer this. I think like for the first question, specifically on Free Fire, so since we launched the game, it grew very, very well. And we see the enthusiasm like on the game across actually from all over the world across a lot of like our existing -- like existing market and new market, the gamers are very enthusiastic about the game and they're very active in the community. So they have been giving us a lot of like suggestions and in terms of the new features of the game and how the direction of the game should be. So like to be very honest, like, our entire, like, development team at this moment is -- they're working day and night even like during the Chinese New Year, so they work pretty hard to fulfill the expectation of the gamers from the product features, from continually enhance the graphic quality of the game, right? 
 So to be honest, at this moment, even just to look at our, like our own focus, we will rather to just continually make the game itself to make it more like a premium game and continue to make it more attractive to gamers. And we still see the growth of the user base is very fast, and we're really excited about it. And we want to capture this opportunity and to try to build up the user base as big as possible. 
 So at this moment, we start to explore like all the different type of the monetizations of the game. But in terms of, like, when we start to really focus on monetization, I will say it could be in the next quarter and it could be in 6 months. I don't have a really specific answer. It really depends on how the user base grows and how the response of the gamer community. 
 But in general, I'm very confident. I seldom see a game with -- very popular with a huge user base, like user base but have no -- have a very kind of like disappointing way to monetize the game. And usually it's not the case. I think like, still, for most of the games, the user base is critical. As long as you have very loyal gamers to play the game, and there is also a way to figure out the monetizations later. So at that part, I'm pretty confident. I will keep updating you in terms of our monetization progress of Free Fire moving forward. 
 And in terms of your second question on Shopee, and at this moment, like, still, I think we took a pretty long-term view. And we don't -- we're not very excited just to say, okay, the immediate monetization like -- or like in terms like a very -- like, okay, so next 6 months or like the next 6 months like what is the -- what is our monetization? We are not focusing on that. And we see this tremendous growth opportunity of e-commerce in our region and we want to capture as much as possible the market share at this moment. But we have also seen clearer the monetization path, and I think from some pioneers of the industry and also see what the best practice is from other regions, right, specifically the performance-based advertising, right, and also the commissions. 
 I think there is one area we see there's a huge potential for us for the additional monetization is some value-added services. And as our platform grow very fast and the sellers on Shopee, they are growing very fast as well; so recently, I visit just a seller in Indonesia, at the beginning of 2017, every day they only have like about 100 daily orders. And now they have like 1,500 daily orders. So the growth to them is tremendous. So because of this growth, they also need a lot of value-added services such as they start to need to hire people like to help them manage the processing of orders. They need to have a setup -- start to have -- set up a small warehouse instead of just put everything in their house, right? And so all those areas, I think there is a tremendous opportunity to monetize to meet the sellers' demand as they also grow their scale. So this is a potential -- like a particular area where we're also looking at and still there's a huge opportunity there. 
Operator: And the next questioner today will be Scott Devitt with Stifel. 
Scott Devitt: I did have 2. The first one is on Shopee. And just in listening to JD's management team talk about their interest and efforts in the region as well given the sponsorship the companies share, just interested in terms of how you think about the complementary nature of Shopee relative to JD and the ability to potentially work together in the region. Or is it just too early in the development of the markets to begin to think about something like that? 
 And then secondly, it would be great if one of you wouldn't mind just adding a little bit more color on Nick's retirement and kind of the dynamics in terms of how responsibilities are going to be inherited upon his departure, and maybe why not stay on the board when he leaves the company? 
Alan Hellawell: Sure thing. This is Alan. I'll take your e-commerce question or JV-related question. We benefit from a very cordial relationship with Richard Liu and his team at JD. I would say to your question, I think that they're still in an exploratory phase. We know that they've made some investments in markets such as Indonesia, Thailand. They're doing some stuff in Vietnam. We communicate with them regularly. 
 However, I think we're both exceptionally busy trying to determine how we deliver our value proposition to each of these markets. But we fully intend to continue our dialogue with them, and we'll see where that goes. With regard to your question about Nick and his retirement, I think if you don't mind, we'll save that to right after the FAQ wraps up, and hopefully, we'll gain some comments from both Forrest and Nick on that. 
Operator: And the next questioner today will be John Blackledge with Cowen. 
John Blackledge: Two questions. So the GMV results were stronger than we expected, driven by kind of bigger upside in gross orders versus what we had estimated. Just wondering if you can provide some insight into the drivers of the strong gross order growth? In that regard, it looked like Taiwan's growth on a Q-over-Q basis was a bit slower than the other markets. Just any call out there. And then just the last question, if you can just give some color on Shopee's logistics and delivery speed relative to competitors in some of the larger markets, that would be helpful. 
Alan Hellawell: Sure. Yes, I mean, again, in sum, we were extremely pleased with the fourth quarter performance, frankly, across all of our markets. We, I would say, are still in kind of discovering the relevance of the marketplace model in a lot of our markets. And so I believe that, that value proposition has just been taken up much more readily than we would've anticipated. There are elements of what you might call a network effect. The more stores that we bring online and the, in turn, greater number of customers that they bring pre-existing from their social sites or a new Fire, a level of growth, and to your question, order intensity that constantly surprise us. You mentioned Taiwan. I mean, it is ultimately, by so many different angles, kind of our most matured market. But even having said that, I think the year-on-year growth and the quarter-on-quarter growth are significantly in excess of what we understand to be the underlying market growth rate. So we're actually very pleased with that. And forgive me, can you repeat your second question? 
John Blackledge: Yes, sure. So just talk about Shopee's logistics and delivery speed relative to competitors in some of the bigger markets in Indonesia and Taiwan, et cetera, and in relationships with the 3PLs. 
Alan Hellawell: Sure. So a couple of items there. First of all, just back to that keyword, network effect. By having a number of merchants which we measure in the millions and then in an individual market such as Indonesia, a number that's already exceeded 1 million, we basically, statistically speaking, are likely to have a merchant and some kind of approximate area to -- someone placing an order. And so we've seen this in other markets around Asia, the marketplace player ending up not being particularly efficient in terms of average delivery time because of that principle. Our understanding, having looked at third-party research, is we tend to deliver in a market like Indonesia within 2 days. And we believe that is the fastest pace of delivery in the market. In markets such as Taiwan, which obviously probably have better infrastructure and are smaller geographically, it's even less than that. 
 But Chris Feng and his team at Shopee, to his great credit, from day one put huge emphasis on the technological aspects of rolling out an e-commerce platform. And that really included from day one an attempt to back-end integrate with the leading 3PLs. This is something he's been able to achieve across all 7 of our markets. And so I think -- I don't have any updated numbers in terms of delivery time or other kind of quantitative elements, but our understanding is by working with these guys on a daily basis, we're helping them help us in many ways not just to improve the experience and delivery times, but more for longer-term planning purposes identifying hotspots of emerging demand and across one or several of Indonesia's 34 provinces and enabling them to grow their delivery center capacity, their last-mile headcount to anticipate and preempt that. So our general efforts are designed at consistently improving the logistics experience. 
Operator: And our next questioner will be Andrew Orchard with Nomura. 
Andrew Orchard: Guys, a couple of questions on Shopee as well. Firstly, on the sales and marketing spend for e-commerce, can you walk us through the Q-on-Q decline in terms of sales and marketing spend as a percent of GMV? How did you manage to -- how did you manage to dial that back a little bit? And what are you looking for in terms of sales and marketing in the next quarter and next year going forward? 
 And also, you talked about the leasing of warehouses for Shopee Mall, how do you expect this to evolve going forward? And in terms of future expenses in terms of rental, where are you expecting this to hit towards eventually as a percent of revenue, a percent of GMV? And where would you book these costs? 
Alan Hellawell: Sure. This is Alan. I'll take your questions. So you're referring to sales and marketing as a percentage of GMV having declined to 8.5% in the fourth quarter of last year versus 9.7% in the third quarter. I mean descending from 50,000 feet, we're clearly, with every passing day that we grow magnitudes faster than many of our markets, we're moreover enjoying a level of operating leverage that others who may not be growing as fast don't have access to. That said, we all are -- we're also singularly focused on investing as efficiently as possible in growing that GMV. 
 And as we look into 2018, we are very focused similarly on continuously driving down S&M as a percentage of GMV. That said, we -- as one of your peers pointed out earlier in the call, we're targeting a level of GMV growth which remains -- represents very strong growth. Whereas S&M as a percentage of GMV, we're very hopeful will continue to go down. Obviously, in absolute terms, it will grow relatively robustly. I'm not sure if I've answered your question, Andrew. 
Andrew Orchard: Yes, I think that's good. 
Alan Hellawell: With regard to some -- your second question, just maybe a couple of comments on why we're doing what we're doing, or even before that, the scale of what we're doing. It's actually very, very limited. And the genesis of some of these ancillary services owes to a lot of the larger brands that we've begun to court, and Forrest mentioned several of them in his prepared remarks. These brands generally have very high standards and expectations in their partners. And so we may decide, here, to help co-locate some inventory for 1 vendor. We may, there, offer what you might call supply chain management services. The scale of these efforts is still from a P&L perspective de minimis. 
 It's early days, and we believe that we won the allegiance of a lot of these leading brands through our willingness to accommodate them. We don't have a sense that their demands will grow inordinately nor will the investments devoted to that balloon. But we'll keep you apprised. But right now, it's really -- it ends up bringing a lot of these brands over the try line. And with that comment, I also emphasize that so many of these brands are looking for a one-stop shops in affiliating with e-commerce platforms in Southeast Asia, and we feel we're one of the very limited number of options that they can go to. And we're really starting to see that advantage blossom with a growing list of multinational leading consumer brands. 
Operator: And our next questioner today will be MC Koh with Goldman Sachs. 
Miang Chuen Koh: A couple more questions from me. Firstly is the -- in terms of the e-commerce revenue increase. It seems like it's mainly coming from Shopee Mall. Can we understand whether the Shopee Mall take-rate is the same across all countries or not? And the second question is as you mentioned before, Shopee Mall is about 10% of GMV or so. Can you give us a sense of what, how big this -- the contribution could be in a more mature state? 
Alan Hellawell: Yes. So with regard to the Shopee Mall take-rates, just to be very clear, at this point in time, it's only being assessed in Taiwan. So that specific 5% take-rate is exclusive to Taiwan. We have 3 categories of take-rates, MC, as you will recollect. We have Shopee Mall, we've got cross-border and then we have the traditional Shopee C2C commission schedule. So the first 2 are now 5%. 
 Cross-border, for some period of time, was 3%, and we've upped that to 5%. And we do charge that across a number of our markets. The very nice thing, just to pick up one of my responses earlier, is that both Shopee Mall and cross-border GMV growth rates are significantly in excess of the underlying Shopee C2C growth rate. So again, just as a commission-specific comment, we would expect the blended commission rate to continue to grow with time. And again, MC, forgive me, your second question was? 
Miang Chuen Koh: Yes. So you mentioned that Shopee Mall is about 10% GMV, just wondering like in a more mature state, would it be like 20%, 30% you think? 
Alan Hellawell: I think we're generally a bit reluctant to provide that kind of guidance. I mean, we look around the region, we see a lot of our peers with a nearly 50-50 mix between the traditional C2C and the brand-oriented platforms. That is part of our framework as we think about things longer term. And I would also just once again say that the growth trajectory is such that we already have some markets which are probably closer to 15% of GMV coming from Shopee Mall. So I would think that the discussion does merit thinking about higher levels of mix going forward. 
Operator: And the next questioner today will be Varun Ahuja with Crédit Suisse. 
Varun Ahuja: I've got 3 questions. On e-commerce, firstly, I just want to go back to the warehouse thing. I know you mentioned just initial specific reinvestments that you're making. But given Taiwan, or this is more specific to Taiwan particularly because both PChome and Momo does a lot of warehouse costing. And if you're looking to compete aggressively in that market, do you think this component is going to increase meaningfully for Taiwan or it's still pretty early days? Are you still watching it? And given you're trying to grow Shopee Mall, will you try to do warehouse in other markets besides Taiwan? That's number one.
 Secondly, on e-commerce. Can you give some color on the kind of EBITDA losses that we may look at in 2018 given the aggressive approach on the GMV front? I know you mentioned that sales and marketing as an absolute amount will grow, but any figure on that, that you have in terms of the EBITDA losses? Thirdly, on gaming side, given the strong reply to the own game, how should we look the own game going forward? Is there any particular genre that you're looking to target in next couple of years? Is there any mix target in terms of revenue from own game versus leasing? That would be helpful. 
Forrest Li: Okay. Thanks for the question. And for the first question about the fulfillment about the warehouse, I think like this is aligned with like what we see the value proposition of Shopee even from the day we started this as a platform. I think like at the beginning, like 2, 3 years ago, I started Shopee because we realize there's a huge opportunity to resolving the pain point of a lot of sellers on social platform and I want to, like, do the business through the mobile platform. So back then, there's no such great platform to fulfill the need of the sellers effectively focused on like social and mobile. So that's how we got Shopee started. 
 I think as I just mentioned when I answered an earlier question, so like when the whole platform grows and our seller base is growing at a very fast rate as well, and we see there's a tremendous, like, increasing need for sellers, especially the smaller -- smaller sellers, when they grow their business, they need a lot of support and to do a business better. I think this is to help them on those needs. It's highly aligned with our interest because at the end of the day, if all the sellers on our platform grow very well and the whole platform, Shopee platform will grow very well. So we continually communicate with the sellers, identify their needs. 
 But at the same time, like, we'll see -- so we will think about what is the priority, what is the most demanding requirement at this moment. And now we will say like we think our capability like at a certain extent, we're going to help them. I think like this is a -- warehousing is one of them. And they do -- as I mentioned, a lot of sellers initially they started from their house. They put everything in their house. But like moving forward, they do need a warehouse and also they need to increase the efficiency of their delivery. 
 So that's the angle when we look at this space. But at the same time, we're very cautious on the -- in terms of the investment, in terms of the spending. So at this moment, it's still very, very small. And it's much -- like most of the -- like almost all -- I think all the warehouse like we have is by leasing, right, and so we're not going to put tremendous capital commitment on that part. I think I would leave Alan to answer your second question, and I would jump into the third question first. And regarding your -- like our prospect in terms of like our game pipeline, definitely, I think like game development, self-development capabilities is very, very critical for us. And so we have that ambition to be like a world-class, like premium, like a game developer rather than just being a game operator. So that's the thing, like this effort has been started like 4 years ago. 
 Like in 2013, and we start with set up the studios in Shanghai. But today, we have like about 200 top-tier game designers in that studio. And the Free Fire is just a good example, I think it'll take time to reach today's level. So we can develop the game, well accepted and the -- work like the work, like a gamer community. So it's very encouraging. I think like this also proves like after a couple of years accumulation of knowledge and know-how. And we start on the right track and we start to get the know-how in terms of the key factors, the key themes of the game development. And we feel very encouraged and we are continually strengthening these capabilities. 
 Potentially, we may continually like adding the top-tier game developers in our studio. And there's -- if like we see good opportunities like our peers, we may, like we may set up like a new studios, right, to try and find the talent, right, in different market. And also, like, we may also possibly like just invest or acquire something like a proven game studios as well to continually strengthen our self-development capability. At the same time, I think like we're also very excited about like working with the top-tier game developers from all over the world to make sure to bring their best games, key games to gamers in our region. 
 So in my view, I think this will be a very -- I think this is kind of like a very balanced approach. Initial -- like ultimately, I would say I would feel very happy if the split is about 50-50, like so probably half of the revenue from our self-developed games and half from like the games we partnered with like other top-tier game developer in the world. 
Alan Hellawell: And Varun, sorry, going back to your second question -- this is Alan. We unfortunately don't formally furnish EBITDA guidance. But let me share with you a few thoughts that may offer you at least the directional feel. First, an observation about the evolution of the market. It's very clear in our mind, and it becomes clearer with every passing day, that almost all of our markets are consolidating very quickly and more quickly than we would have anticipated that even 6 or 9 months ago. 
 Secondly, as a matter of principle, when given the choice to ease our spend and maintain our share or invest more heavily to expand our share, we've chosen the latter strategy. Reason being, we believe that investment is going to help us achieve dominance in the categories that are so important to us, female long-tail categories. That kind of dominance and the ability to be the go-to platform for these important and very profitable categories as we've talked about in the pastor should bring us to higher monetization levels going forward. 
 So really, just to conclude, at the end of the day, winning a merchant or a customer today in our mind is much better than having to spend more to win them in the future. So I hope that gets you closer. 
Operator: And we will conclude our question-and-answer session. I would like to turn the conference back over to Forrest Li for any further remarks. 
Forrest Li: Thank you. And thank you for everybody participating in today's like earnings call. And before we end the session, I would like to take this opportunity to extend my best wishes to Nick Nash, our Group President. As you may already know, like Nick is retiring from our company at the end of this year 2018. Nick has served as Sea's Group President since December 2014. And in the past 3 years, Nick played a very critical role in Sea's tremendous growth, especially in our IPO in 2017. I would like to express my sincere appreciation for Nick's distinguished achievement as Group President. 
Nicholas Nash: Thank you so much, Forrest. Serving as Sea's Group President has been one of the happiest experiences of my professional career, and I'm deeply honored to have had the opportunity to work alongside Forrest and our entire team during a period of extraordinary growth for the company. The end of 2018 is a natural moment for me to retire both because of the milestones we have reached together as a team and also because of my personal aspirations for the next decades of my life. These past few years have been marked by very special milestones. Our company has executed well, achieving strong leadership positions across each of our 3 segments in a part of the world with substantial growth potential. With our IPO completed, we're on a stronger financial footing for our next phase of growth. And most important, I have great confidence in our next generation of rising leaders who will step into my responsibilities with skill and dedication. 
 On the personal front, as many of you know, I came from the investing world and spent over a decade with General Atlantic, supporting high-growth companies around the world, including Sea. I've always had a lifelong passion for investing and supporting growth companies. After reflecting on what I've learned here at Sea, I want to share the unique experiences I've had to help a new generation of companies here in Asia on their growth journeys. That sharing of learnings from one generation of companies to the next has been a hallmark of what made Silicon Valley so successful, and I look forward to continuing that tradition here in Asia by starting a new private equity fund after I retire, dedicated to that mission. 
 Between now and then, I will remain deeply dedicated to Sea's mission and strategic priorities, and post my retirement, I will always remain a close friend of Sea over the years to come. I have no doubt that Sea's finest years are ahead of it, and I'm excited for the work we'll be doing in 2018 to make continued progress for our long-term goals. 
Alan Hellawell: Thanks a lot, Nick. Well, this would conclude our conference call. As always, we remain available and committed to getting any questions that you, the investor and analysts, have. I look forward to continuing to liaise with you throughout the quarter and look forward to our next earnings call. Thank you very much. 
Operator: And the conference is now concluded. Thank you for attending today's presentation. You may now disconnect.